Operator: Good day everyone. Welcome to the Rush Enterprises, Inc. second quarter 2008 earnings conference call. Today’s call is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to Mr. Marvin Rush, Chairman of the Board. Please go ahead, sir.
Marvin Rush: Welcome to our second quarter 2008 earnings release conference call. On the call today are Rusty Rush, President and Chief Executive Officer; Marty Naegelin, Executive Vice President; Steve Keller, Vice President and CFO; Jay Hazelwood, Controller, Rush Enterprises; and Derrek Weaver, Chief Compliance Officer. Now, Steve Keller will say a few words regarding our forward-looking statements.
Steve Keller: Certain statements we will make today are considered forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Because these statements include risks and uncertainties, our actual results may differ materially from those expressed or implied by such forward-looking statements. Important factors that could cause actual results to differ materially from those expressed or implied by such forwardlooking statements include but are not limited to those discussed in our annual report on Form 10-K for the year ended December 31, 2007 and in our other filings with the Securities and Exchange Commission.
Marvin Rush: Now we would like to give you an update on our progress second-quarter results. In the second quarter, the company’s gross revenues totaled $455 million, a 12.5% decrease from gross revenues of $519 reported in the same period last year. Net income for the quarter was $6.1 million or $0.16 per diluted share compared to $13 million or $0.34 per diluted share in last year’s second quarter. These results included a $5.4 million write-down of used truck inventory in the second quarter of ’08 which reduced earnings about $0.08 per share. We will look at the segment of the business. Let’s talk about truck segment. Our truck segment recorded revenues of $425 million in the second quarter of ’08 compared to $488 million in the second quarter of ‘07. The company delivered 1665 new heavy-duty trucks in the second quarter of ‘08 compared to 1869 heavy-duty trucks in the same period of ‘07. Revenue for Class 8 trucks sales decreased approximately $25 million or 11% to $201 million in the second quarter of ’08 from $226 million in ’07. In the second quarter of ’08, 979 new medium-duty trucks were sold versus 1324 new medium-duty trucks in the same quarter last year. Revenue from medium-duty truck sales decreased approximately $16 million or 22% to $57 million in the second quarter of ’08 from $73 million in ’07. The company delivered 795 used trucks in the second quarter of ‘08 compared to 984 used trucks in the same period of ‘07. Revenue from used truck sales decreased $13 million or 26% from $38 million in the second quarter of ‘08 to $51 million in the second quarter of ‘07. Parts, service, and body shop sales remained constant at $112 million in the second quarter of ‘08 and ‘07. Gross profit margins on backend sales decreased to 42.5% for the second quarter of ‘08 from 44% in ‘07. Talk about the construction machinery business. The company’s construction equipment segment recorded revenues of approximately $25 million in the second quarter of ‘08 compared to $26 million in the second quarter of ‘07. New and used construction equipment sales revenue decreased 8% to $19 million in the second quarter of ‘08 from $20.7 million in the second quarter of ‘07. Construction equipment parts and service sales increased 3% to $5.5 million in the second quarter of ‘08 from $5.3 million in the second quarter of ‘07. Talk about the absorption rate. We remain committed to achieving our annual absorption goal of 105% in this depressed stock market. During the second quarter of ‘08, our absorption rate decreased to 105.4% from 109% for the same period of ‘07. Our yeartodate absorption rate is 105.1% compared to 105.4% in ‘07. Relatively flat parts, service, and body shop sales coupled with a slight decrease in gross margins from these operation and new-store acquisitions have put pressure on our year-to-date absorption rate. These pressures will partly offset the expense control measures implemented in the first quarter of the year. Our people have worked extremely hard during the first half of this year to contain spending without compromising customer service. We will continue to pursue further expense reductions while maximizing our effort to create incremental growth opportunities to help offset the soft new and used truck sales environment. Talk about the industry outlook. As expected, Class 8 medium-duty, new and used truck sales have been weak through the second quarter. We expect truck sales to remain slow through the remainder of ‘08. We continue to believe that with the replacement cycles of vehicles purchased between 2004 to 2006 demand with the 2010 emission regulations will create increased demand for Class 8 medium-duty trucks in 2009. The current freight environment, record fuel prices, tightening credit and overall challenging economic conditions throughout the country hit used truck values particularly hard in the second quarter. Demand for used trucks rapidly declined and valuations for used trucks have decreased approximately 15% to 20% since April. Used truck valuation write-down always will occur in dealership operations. These write-downs increased in magnitude when truck values decreased rapidly in a short period of time. We have adjusted our new-truck values to better reflect these market conditions. The new-truck valuation write-down reduced earnings by $0.08 per share. We remain committed to our strategy to diversify our earnings base, to expand our geographical network, and focus on less cyclical niches and aftermarket business. We are confident our strategy and our continued efforts of our people will sustain our performance for the remainder of the year and beyond. Talk about the stock repurchase program. As described in the press release, the company’s Board of Directors approved a stock repurchase program authorizing the company to repurchase up to an aggregate of $20 million in its shares of class A and/or B common stock. We believe the purchase of our common stock represents an attractive opportunity to benefit the long-term interest of the company and its shareholders. Implementation of the stock repurchase program will also give the company flexibility to issue additional equity securities in the future, while complying with the ownership requirements in the dealership agreements with the various manufacturers it represents. We now are prepared to answer questions and answers for you. Operator, please review the procedure for asking questions.
Operator: Thank you. The question and answer session will be conducted electronically. (Operator instructions) We’ll go to Jamie Cook of Credit Suisse.
Jamie Cook – Credit Suisse: Hi. Good morning and good quarter despite a tough market. Can you guys just – I mean, you gave some color on what you thought the 2008 outlook would be, but could you give a little more – I think last time you said how heavy duty [ph] deliveries would be off about 10%, where you think that – or where do you think the new numbers are and I guess also, how big of a pre-buy do you think you'll realistically have in 2009 given the macro environment?
Rusty Rush: Good morning, Jamie. It’s Rusty.
Jamie Cook – Credit Suisse: Hey Rusty.
Rusty Rush: I would basically stick – I'll sit around the 140,000 retail deliveries for US. I think for six months, it is around 69,000, so it's tracking right on that and I've seen nothing that's really going to change it right now. To be honest with you, the market really hasn’t changed a whole lot in total. It’s still a depressed truck market out there. As far as in outlook, I mean, I would tell you, outlook for ‘09 pre-buy, we still believe there will be a pre-buy, so obviously the magnitude and the size of it for us, we are not quite sure where that – where it is going to land out. But it is nice that as you look at some of the earnings reports coming out right now, some of the companies, some of freight companies out there, it’s nice to see that they've stabilized and may be we are giving a better balance in supply and demand out there as far as freight tonnage goes. So, that would obviously bode well for an upside in the marketplace next year, for the '09 pre-buy.
Jamie Cook – Credit Suisse: I mean, is it a 30% increase? I mean, I know I don’t want to hold you to, but I feel like it has been a pretty good indicator so far on what’s happening. You’ve called that right so far, Rusty.
Rusty Rush: I don’t know right now it is good, but we are trying to manage to it. I would say, you’re probably looking at 35% to 40% – if I was going to say if we are 140,000 this year in the US retail deliveries, one might axe at 190,000. I could believe that and probably even loaded more towards the second quarter and out would be my thoughts.
Jamie Cook – Credit Suisse: Okay. And then could you just talk about too on the used truck market? Could you talk about how you feel sort about inventory levels and do you think used prices stay, you said down 15% to 20%, do they get worse or you think they sort of stabilize here?
Rusty Rush: When I say 15% to 20%, Jamie, I would tell you, our write-down which I’m going to tell you, we’ve been in this business a long time and every now you and then, you get this dramatic write-down of used inventory. And we have – we took basically a 16% write-down is what we took on our own. Now we believe we’re marked to market and the inventories should continue to move on out and we’ll manage to the adjusted numbers going forward. Now, we don’t plan on anymore write-downs, but anytime you’re holding inventory and you get some dramatic reduction in valuation in the marketplace, it just happens. It happens for everyone, but I would say, 15% was probably more in line with what I see the industry, where the industry was at. And as I said, we took the 16%. We believe we’re mark to market with what we got and we will manage to what we see the environment out there right now. The fact that environment can change up or down dramatically a lot depending on supply and demand and what’s going on out there with our customer base.
Jamie Cook – Credit Suisse: Okay. And then I guess just a follow-up question then I’ll let other people ask questions. Can you just talk about the pricing environment on new trucks, so you are seeing the OEs pass along sort of price increases? And if so, can you talk about the magnitude?
Rusty Rush: You’re seeing some surcharges being put on some surcharges being put on some stuff that's already existing by some manufacturers and I don’t want to get involved that right now, but you can talk to customers and find that out from commodity pressures. I would tell you that most manufacturers are holding the line and not going out there and just trying to create a sales environment that does not exist right there. I don’t see that going on really right now. Most everybody obviously adjusted last year their production platforms for what they perceived the market to be, now it's been more depressed that what we have perceived. But they had already adjusted to somewhat depressed markets in their production levels and they are maintaining that at this moment from what I see.
Jamie Cook – Credit Suisse: Alright thanks. I'll get back in queue.
Rusty Rush: Sure. Thanks Jamie.
Operator: We’ll go to Rhem Wood of Stephens Inc.
Rhem Wood – Stephens Inc.: Hey guys, good afternoon.
Rusty Rush: Hi, good morning, Rhem.
Rhem Wood – Stephens Inc.: Good morning to you. Rusty, could you talk a little bit about how the plummet in equipment values kind of compare to the last few cycles and maybe the magnitude, the dollar amount for three to four year-old trucks?
Rusty Rush: Well, it depends on – I do not really get into the three to four year-old trucks, but I mean, obviously, when you look at the – as you compare this back to 2000 – which is a good 2000-2001 time frame, when the used truck market did take quite a substantial hit back then, I would tell you this was similar from a percentage basis. If I remember right, actually, the last time may have been just slightly worse. I want to say we probably took 20 some odd percent out and this time, we believe the market adjusted – I could say, we took 16% out of our inventory. But as we go forward, Rhem, I do not want to sit here and peg to three and four year-old trucks for you. I think the percentage guidelines would be across to the board regardless of manufacturer of products or whatever. That’s a good blended number. When I said 15% to 20%, that was probably more, you could say 14%, 13%, to 20%. That's probably more unit specific as you go in and write these inventories. Now, you do it on a unit-specific basis than we blend it out of the 16% number.
Rhem Wood – Stephens Inc.: Thank you, that's helpful. Can you also a little bit about just what the inventories of new trucks on the lot look like now?
Rusty Rush: Inventory of new trucks? Our inventory is not bad. We feel comfortable with our inventory. I guess, if you look at new truck sales, the hardest part when you look at the total sales we had, you really can break it into pieces. Understand that the hardest hit part of truck sales from the first half of ’07 to the first half of ’08 has been the owner-operators, small operator-type sales, where if you look at our sales for that time frame, I think we’re down like 23% or something like that, 24%. The stock truck sales are down to over 50%. Okay? And that has to do with the pressures from fuel, from credit, and everything else. So, stock truck sales were weak, but you still have to have the breadth of products to cover all the different markets that we try to sell into, that's one of the key parts about our model is that we just don’t sell to over the road type customers. Yes they are a piece of our business, a large piece of our business, but all the vocational businesses that we focus on allow us some flexibility in our model, not to be tied just to the large truckload guys or just to the owner/operator type. We try to – we manage very keenly to being in specific markets and market segments, so the fact that there was a – and the over-the-road large fleet customers are the hardest hit ones right now.
Rhem Wood – Stephens, Inc.: Okay, thanks. Lastly, can you talk a little bit about the municipal and vocational markets? I guess, those are slowing as well.
Rusty Rush: Vocational is slowing, though in some areas. I mean, you got to look at where we are at, where we are located. Remember, three of the five hardest hit from a construction basis based in the US are in Florida, Arizona, and Southern California which all happen to be large markets that we’re in. So, from that vocational side, from a construction side, we have taken – Florida has been taking the hit for over year and a half to two years now, and California has had a difficult first half and Arizona likewise, so those markets have been hit. Now, the municipal side, I would tell you is not – is running along pretty much what we can call standard operations. I mean, municipal has not been hit as hard as some of the vocational businesses had, but that is supported by governments and states and things like that. Municipalities are – and infrastructures continually having to be redone in a lot of our cities right now.
Rhem Wood – Stephens, Inc.: Thanks so much for your time. I appreciate it.
Rusty Rush: You’re welcome.
Operator: We'll go next to Andrew Obin of Merrill Lynch.
Andrew Obin – Merrill Lynch: Hey, Rusty.
Rusty Rush: Hey, good morning, Andrew.
Andrew Obin – Merrill Lynch: Just a question of the write-down, I guess I have too pessimistic perceptive given the industry I work in, but financial firms have had a very hard time sort of figuring out just how much to write down, and how do you know – I mean, what level of confidence do you have that this is the last write-down on used parts inventory as opposed to this is the first of many sort of these small write-downs going forward?
Rusty Rush: Well, I guess, you are going to have to put a little – yes, let’s don't compare this to the mortgage industry here, Andrew. I don’t have contingent liabilities out there. I’m looking at unit specifics that I have an inventory right now that I have a certain value on that don’t have a payment screen that I have to count on, so the comparison is a little tough for me there. Now, what you do is you have to break it into its two pieces. I have an existing inventory there and that is what we’ve marked to market, where we felt it had to be marked. We mark it down 16% and then you are going to have to put a little confidence in us that we managed through that market and stay on top of that market as we go forward. As we pray for trust going forward, we just have to have a heightened sense of the environment we’re in and that does not preclude that something could happen. But we’re not going to be managing that way as we go forward, so we marked everything we have in inventory currently to market. We do not have a whole lot of contingent trade packages coming in which we do not have right at the moment, so we have to manage to what we see now. That is not to say we couldn't wake up one morning and the market go down another 10%. But right now, we do not foresee that but that is the risk of the unknown and that is the risk of used-truck market.
Andrew Obin – Merrill Lynch: How long do you think it will take you to get rid of your existing used truck inventory?
Rusty Rush: If you look at the inventory levels, it is about what we are selling in a quarter, and you are not going to sell every one of them in a quarter. You are going to trade for some and move in and out, but I would imagine we are selling right now and our deliveries were down to basically what we have got in inventory currently, around a 700, 800 unit mark.
Andrew Obin – Merrill Lynch: Another question, would you say you were conservative as you were marking down your used truck inventory?
Rusty Rush: No, I would say I marked it to market, Andrew.
Andrew Obin – Merrill Lynch: Okay. Thank you very much.
Operator: We will go next to Chaz Jones of Morgan Keegan
Chaz Jones – Morgan Keegan: Yes. Hey. How are you guys doing?
Rusty Rush: Hey, good morning, Chaz.
Chaz Jones – Morgan Keegan: Rusty, I want to focus in on, I think at the beginning of the year, when you gave your outlook on the heavy duty market, you kind of thought the year would play out maybe 40% first half of the year, 60% second half of the year, and then when you talked about the retail sales, it sounded like you thought that would be split more evenly 50-50. Is that a good way to kind of think of it.
Rusty Rush: No. Six months will make you whole lot smarter, Chaz. As Jamie said earlier about, you are right on. Like I said, six months will make you a lot smarter about other things, so I would tell you I don't see that big uptick right now. We were hoping for that at the first of the year, but given this phase of general economy, I do not think I have to digress into those details. There has been a lot of our customer base that has been affected. There is even a lot of this country that has been affected, and I do not see any big upswing in the remainder of 2008. I just do not see it. I don’t see the driving factors out there in any of the industries I look at. Now, I see things or trough which is a good thing because once you trough, and there’s only one direction to go from there, and that’s up. It’s just a matter of how long you tread water in that trough, so it’s a timing issue that continues to get pushed up, but every day that passes is a day closer till we start that – we start ramping back up into what we would consider more normalized run rate as far as truck sales and things like that go, but I don’t foresee it. It's really not – as I said earlier when I was talking to Jamie, it’s still really the first part. If we get anything in the second quarter of 2009 or first quarter of 2009, maybe we’ll see what it is. It’s nice to see some better earning reports. I am not going to say better than our comp year-over-year but in line, people meeting consensus and some exceeding consensus from our customer base level, so that is nice to see right now. And hopefully that will start a trend line as we go forward and that would be indicative of what’s going on in the overall economy as we come out of 2008. That’s my opinion.
Chaz Jones – Morgan Keegan: One follow on to that, I know the truck order backlog as you guys reported picked up from the end of 2007 to the end of first quarter of 2008, how has that changed here at the end of the second quarter?
Rusty Rush: I’ll be honest with you. It’s probably tricked down a little bit as far as the backlog of Class 8 that we have. I don’t look for any big upswing. Sometimes, you get one deal that falls – just depending on when it gets delivered timing wise, getting them rigged up, et cetera, might fall one quarter or another quarter. But I mean, you are looking for numbers, nothing much different from somewhere between first and second quarter and obviously when you can still get a truck and deliver it in the third quarter, there is still some unknown out there as to what our deliveries will be.
Chaz Jones – Morgan Keegan: Okay. One other question I had, just kind of strategically, have you guys contemplated maybe making any further diversifications in terms of product sales? You look back three or four years ago, medium duty market has been a real success for you guys in terms of growth. Are you exploring any other product alternatives out there to maybe leverage the network or model?
Rusty Rush: Obviously, we are continuing to explore things like that, Chaz, but probably this is not the place for me to talk about that right at the moment. We are continuing to work around our model, understanding that we are a service provider first and then a product provider second. Service sales trucks, service sales products; and we will continue to build out our service model across the south from coastline to coastline because we believe that allows us the quality of core customers that we have, and we will continue to look for more products to distribute to commercial customers across this space. There is no question about that. And during the second quarter, as you know, we took on the Charlotte area. We took on two stores in Charlotte, the Peterbilt Hino-Isuzu store and also a Navistar store, which was our first Navistar store and that is in Charlotte. So, we will continue to look at other products also that we might distribute. There are other things that we are looking at, Chaz, at the moment.
Chaz Jones – Morgan Keegan: Okay. That is fair. Maybe two quick follow on. In kind of looking at what your expectations are for 2009 as far as the heavy duty market and kind of where you are today, my question would be is looking at the absorption rate, not necessarily that that is dictated by the truck sales, but I know you guys threw out a target of 110% in 2009 several years ago. I know you’re going to hold your company to it, but maybe if you could update us there on what the outlook is.
Rusty Rush: Well, right now, in this environment, given – parts and services sales have been hurt too. It’s the first time I’ve seen in years that we had some flatness and even slight deterioration on the top line of parts and services. Our customer base has suffered immensely. But from absorption, when we do get it, picks back up, I’m still shooting for 110%. Unfortunately, the markets didn’t turn out like we thought they would in ’03, and ’04, ‘05, and ’06 were fine, and then the speed bump in ’07 rolled into ’08 and obviously made it tougher to raise the absorption rate. But as you are taking on new stores and putting in new stores all the time and stuff in an environment like this, it is also a balancing act. If we just sat with mature organizations, did not try to grow, and just worried about absorption and percentages, we'd roll along with that which are eventually driving absolute dollars in top line. You do that by continuing to open new locations which we continue to do. We open two, three, four a year depending on the year. Continuing to update your facilities which we have a lot of CapEx. Continue to always schedule it out. Well, that is just typical of what we are doing all the time behind the scenes to help support that service growth down the road and it helped. We got a few truck deliveries, so – your internal business – when your truck delivers, remember I’ve told you all before that 10% of our gross profit from parts and service comes from the delivery of trucks, whether it’s rigging them or doing different things. So, when your truck sales are off 50% or whatever, you can equate that to a four to five point hit on gross profit right off the top because of truck deliveries being down. So, you have to be aware of that. Chaz, I’m going to jump back to one thing I didn’t mention. When you talk about building off of other things we’re doing, we have gotten into the school and commercial bus business also in the state of Texas. And as we go forward, we’re looking at that as a possible opportunity for growth and we will continue to evaluate that, but that just happened in the last few weeks.
Chaz Jones – Morgan Keegan: Last question quickly and I’ll let somebody else have it. Just in regards to the repurchase program, obviously you think stock is attractive here, but should we read into anything for what that might say about the acquisition market or maybe your outlook in terms of the market staying a little tougher here, a little longer than you had suspected.
Rusty Rush: No. I wouldn’t read anything into it other than what it is.
Chaz Jones – Morgan Keegan: Okay, great. I appreciate the commentary, Rusty.
Rusty Rush: You bet.
Operator: (Operator instructions) We will go to Todd Maiden of BB&T Capital Markets.
Todd Maiden – BB&T Capital Markets: Good morning, guys.
Rusty Rush: Good morning.
Todd Maiden – BB&T Capital Markets: Couple of quick questions, I guess while we’re talking about some of the acquisitions that you’ve made recently, what are you seeing right now as far as the multiples? I know you guys are out there, at least looking in the market, what are you seeing right now? I got to imagine they are starting to come in line.
Rusty Rush: Well, I would tell you that activity is picking up but everyone still wants to sell off of ’05, '06 numbers. That’s what it’s all about, so the longer that this goes on, I would imagine that that will continue to come more in line, but we don’t really talk about specific acquisitions. I know you didn’t ask a specific question, but we will continue to look for anything that fits into our model from a distribution, from a truck dealership perspective, and also as I mentioned earlier from other commercial products such as buses that will fit inside our transportation building model of what we do. So, I know I’m not answering your questions specifically about multiples but I really can’t shed a lot of light on that at this moment.
Todd Maiden – BB&T Capital Markets: Right. But you would say there hasn’t been any precipitous drop.
Rusty Rush: No. There is not any precipitous drop for us, unless you get a one-off case of someone being in deep trouble here, but it may not fit. Remember, we’re – to fit our model of contiguous geographic footprint across the south, we have – our opportunities are fewer than they were five or six years ago because we’ve continued to do this and had collateral over time. And the fact that our network is a well capitalized network and most truck distribution arms right now are fairly well capitalized, their dealer groups are, so they can weather storms, so we’ll just see how long this one lasts and take it from there.
Todd Maiden – BB&T Capital Markets: All right, good enough. And then, on – we talked a little bit about the Class 8 ’08 outlook or remainder of the year outlook. What about Classes 5 through 7? I know, I think on the last call, we’ve talked about maybe 20% or 25% year-over-year decline. Does that feel right or –?
Rusty Rush: I would tell you, our deliveries are pretty flat with first and second quarter, the outlook for the third quarter. And so yes, we’re in line of where we – I would look for our outlook and you can take it from there and figure it back from there, would be pretty flat first, second and third quarter. Now, that's obviously subject to change as I said because product is available, but at the same time, that would be our outlook right now for the next quarter.
Todd Maiden – BB&T Capital Markets: Okay, great. All right, I appreciate it.
Rusty Rush: You bet. Thank you.
Operator: And at this time, there are no other questions in the queue. I’ll turn the conference back to Mr. Rush.
Marvin Rush: Well, folks, thank you for listening. If you got any questions, please give us a call. We’ll talk to you later or next quarter. Have a good day.
Operator: And that concludes today’s conference. We thank you for your participation. You may disconnect at this time.